Operator: Greetings. And welcome to the Definitive Healthcare Third Quarter 2021 Earnings Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Denyeau from ICR. Thank you. You may begin.
Brian Denyeau: Good afternoon. And thank you for joining us today to review Definitive Healthcare third quarter 2021 financial results. Joining the call today are Jason Krantz, Definitive Healthcare’s Founder and CEO; and Rick Booth, Definitive Healthcare’s CFO. During this call, we will make forward-looking statements, including but not limited to statements related to our market and future growth opportunities, the benefits of our healthcare commercial intelligence solutions, our competitive position, customer behaviors, our financial guidance, our planned investments and anticipated impact to the COVID-19 pandemic of our business and results of operation, as well as on our clients, the healthcare industry generally, and the macroeconomic environment. Any forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-statements to reflect events that may arise after this conference call, except as required by law. For more information, please refer the cautionary statement included in the earnings release that we have just posted to the Investor Relations portion of our website. Additionally, we will discuss non-GAAP financial measures on this conference call. References during this call the profitability on an adjusted EBITDA basis. Please refer the tables in our earnings release on the Investor Relations portion of our website for a reconciliation of these measures to most directly comparable GAAP financial measure. With that, I’d like to turn the call over to Jason.
Jason Krantz: Thanks, Brian. I would like to welcome everyone to Definitive Healthcare’s third quarter earnings call, our first as a publicly-traded company. We were thrilled to complete our successful IPO in September, which is an important milestone for the company. However, as proud as I am of everything that we have accomplished so far, I know that we are just at the beginning of delivering on our vision to be the premier provider of healthcare commercial intelligence. I want to thank our investors for their competence in Definitive Healthcare and thank every one of our employees for all they do every day to make our customers successful. On today’s call, I want to start by reviewing our success in the third quarter. Then, since I didn’t have the opportunity to meet all of you during our IPO roadshow, I will provide a brief introduction to our business, our strategy and the market opportunity we are targeting. Let me start with a quick review of our third quarter financial results. For the third quarter, we continue to deliver in the three financial characteristics that make Definitive Healthcare a unique investment opportunity, which are the combination of high growth, high profitability and a tremendous amount of visibility into our future performance. From a growth standpoint, we deliver total revenue of $43.1 million, which represents 43% year-over-year growth. At the same time, we continue to produce exceptional profitability, as indicated by our adjusted EBITDA of $15.5 million, which translates into a 36% margin, as well as our unlevered free cash flow of $11.5 million. Finally, we continue to produce revenues that are almost exclusively subscription based and the majority of which are multiyear contracts. Rick, of course, will dive into these numbers in much greater detail, but before I hand the meeting over to him, I’d like to dive into our business to what I believe makes Definitive such a special company. As we all know, the healthcare sector is huge. It’s a $4 trillion market that represents 18% of annual U.S. GDP and touches over 300 million patients in the U.S. However, in addition to being large, the healthcare industry is constantly changing and meaningfully more complex than other industries, creating huge challenges for the companies that sell into healthcare. That is where we come in. I founded Definitive Healthcare to help companies analyze, navigate and sell into the complex healthcare ecosystem. We bring clarity and in-depth knowledge of the entire market that we have a deep understanding of the interconnected relationships between physicians, hospitals, providers, insurance companies, government regulators and the patient’s themselves. Let me provide you an example of what this complexity looks like. Take a pharmaceutical company developing a new drug. To be successful, not only does this company need to develop a new cutting-edge technology that provides benefits beyond the current standard-of-care, but they also need to convince multiple parties of the value of this drug, including physicians who utilize the product, hospitals where the procedure is taking place, the patients who ultimately take the drug, and the insurance companies and government agencies that will pay for it. We help companies across this whole process. First by helping them identify the best experts from around the globe to assist in designing new drug trial protocols. Then, as a company progresses towards approval and beyond, we help them size their markets in segment positions with our advanced analytics trends and we layer in payer reimbursement to help them develop and execute upon the optimal commercialization effort. So let’s take a telehealth company, telehealth company needs to not only understand existing technology infrastructure at a hospital or physician group, but they also need to understand the web of relationships with physicians and surgery centers and how this is changing over time. And finally, they can understand the distinct business problems of their targets, perhaps, it’s a quality problem or a customer service problem, they can go to market with exactly the right message to make sure they can grow as quickly as possible. We provide the intelligence and insight on every provider across the healthcare ecosystem to help our customers develop go-to-market strategies, as well as the technical information, like, physician location data and executive information to execute upon those strategies. So how do we do it? We have defined a new category called healthcare commercial intelligence, which provides customers with a comprehensive, integrated picture of the entire healthcare system. We do this by combining three key elements. First, we have comprehensive in-depth and proprietary intelligence on healthcare providers across the entire continuum of healthcare. We track every provider across the U.S., including physicians, hospitals, imaging centers, skilled nursing facilities and much more. We understand the complex affiliations between these organizations to provide deep insight on the care they provide and their underlying business. We have collected and built this proprietary hub of information over the last 10 years from hundreds of thousands of different sources, including websites, industry journals, publications and over 700,000 phone calls that our teams make every year. Second, our proprietary AI engine takes the information that we gather from these hundreds of thousands of sources and apply sophisticated data science techniques to cleanse it, link it and create new intelligence. I like to call this our flywheel of innovation. With our flywheel of innovation, we are constantly ingesting new information and we are applying new algorithms to our data to create new insight for our customers. And over the last 10 years, we have been able to create a comprehensive view of the entire healthcare ecosystem that doesn’t exist anywhere else. And now that we have that hub of intelligence, we can innovate at an even more accelerated pace by creating new powerful predictive insights with information we already have. And finally, all this is delivered through a modern intuitive SaaS platform that puts the right information in the hands of customers to make real time actionable business decisions. We have productize the ability for customers to quickly analyze and act, thereby increasing their chances of commercial success in the complex ecosystem. So who do we sell this offering to? We play in an extraordinarily large market. We sell to anyone who wants to sell into or compete within the complex healthcare ecosystem. This includes, life sciences organizations, like, biotech, medical device firms, healthcare IT companies, healthcare providers themselves, like, hospitals and large physician groups, and a whole group of diversified companies. These are companies that sell to many industries, but understand that healthcare is a critical market and to succeed in healthcare require specific commercial intelligence. These companies include organizations as varied as commercial real estate firms, food suppliers and wood flooring companies. In total, there are over 100,000 companies that we believe are potential buyers of our product and today we count less than 3% of these companies as customers. As a result, we estimate our TAM to be $10 billion and growing every day as healthcare continues to expand and we continue to innovate and develop TAM expanding disruptive products. We help all these customers solve a broad range of high stakes business problems, including sales and marketing, where we help our customers utilize our platform to access actionable intelligence that generates highly targeted go-to-market strategies and effective marketing campaigns. We also help our customers with clinical research and product development, where they use the Definitive Healthcare platform to identify experts across the globe within a specific disease area in order to find important sites for clinical trials and make data driven investment decisions. Our customers also use Definitive Healthcare in developing their strategy. They size markets and understand therapeutic adjacencies to make better business decisions about investments in new therapeutics, diagnostics and technologies. We help our customers with talent acquisition by helping them identify and engage the right candidates for healthcare roles, including nurses, physicians and hospital executives. And finally, physician network management. This is a multi-billion dollar problem for the industry. We help our customers strengthen their networks by identifying the most attractive physicians and then we help them understand existing referral patterns and affiliations, and importantly, how are these changing over time. These are all high stakes problems for our customers that the Definitive Healthcare platform helps solve. And as we innovate every day, we are constantly coming up with new ways to solve even more important business issues for this critical sector. If you look at how we have disrupted the market, we have created something that is highly unique and proprietary. Our customers tell us that our platform has many unique advantages available nowhere else, including deep healthcare expertise, a full comprehensive 360 degree view of the entire market and a modern integrated platform that productize our insights to provide immediate insights, as opposed to long expensive one-off consulting engagements. As we look to the future, we are incredibly focused on continuing our trajectory of high growth and profitability, and we will do this in four key ways. First, we will continue to acquire new customers by making significant investments in sales to grow our team and in marketing to generate more inbound demand. With less than 3% penetration today into a market opportunity of 100,000 companies, we have significant opportunity ahead of us. Second, we will continue to expand within our existing client base. We have a land and expand model that has been highly successful as evidenced by our strong net retention rates with our enterprise customers. We can expand within our existing client base by adding users, moving into new functions or therapeutic areas or selling them new product modules. In fact, we have 14 modules today that we can sell to existing customers and a typical new customer will by just over two, leaving a substantial opportunity to grow and expand these relationships. Third, we will continue to innovate. In fact, this innovation will accelerate as we are able to leverage our proprietary hub of intelligence to create new insights more and more quickly off of data we already have. This innovation will continue to expand our product portfolio, which provides additional opportunities to increase wallet share with customers and to expand it in new markets or new functions within our existing customers. For example, we rarely sold to healthcare providers three years ago. But as we innovated and created more intelligence and tools to develop and manage physician networks, our product has become a natural fit. We have seen rapid growth in this new large market. And finally, we will opportunistically pursue strategic acquisitions. While nearly all of our growth historically has been organic, we have made selective tuck-in acquisitions that enable a new capability or extend our dataset, which can be applied to our existing customers. We maintain an active M&A pipeline and being public provides us with greater flexibility. We believe selective acquisitions can be an efficient way to accelerate product innovation and extend our value proposition. With that background, let’s look at our third quarter performance in more detail. We had a great quarter across the Board, with strengths in each of our core markets, from life sciences to healthcare IT to diversified companies who want to sell into the healthcare ecosystem. I’d like to highlight several of our key wins in the quarter. In the life sciences space we had several six figure new logo wins, including a large pharmaceutical technology company that chose Definitive Healthcare to accelerate its push into the hospital and health system market. This customer has a new drug delivery implant recently approved by the FDA and it found significant value in our intelligence about executives, affiliations, procedure volumes and doctors. Notably, this customer plans to incorporate our hospital data into its Viva installation to improve the quality of the data in its CRM. We had multiple wins this quarter with technology vendors as well. One of these customers was a cloud-based electronic health record vendor that targets small practices with less than 10 doctors. This customer selected Definitive Healthcare to size, segment and then sell more effectively, it is very hard to reach market. It also will use our technology stack data to analyze its competitive landscape. Additionally, we signed a six figure deal in Q3 with one of the market leaders in the electronic health record market. This customer plans to use our platform to identify which practices are using its competition software, understand usage data, like hospital bed counts and clinical metrics and gain insight into the nature of the practices patients using claims data. Finally, we had a number of big wins at diversified companies who are looking to sell into the healthcare market. For example, one of the world’s leading venture capital firms signed a significant deal with us to help them size and evaluate the market for potential investments in the healthcare space. In addition, one of the largest global logistics providers subscribed to the Definitive Healthcare platform to help validate location and address data and ensure accurate package delivery. We also had two construction companies sign on in Q3 to leverage our HospitalView product to identify growing hospital systems that might need new facilities or other infrastructure improvements. These are just some of the many deals we signed in Q3. I want to thank all of these customers for their partnership and congratulate our hard working commercial team on their success. Definitive Healthcare continues to deliver product innovations in response to customer demand. Some of these recent innovations include an expansion of the PhysicianView product to include new intelligence around physician specialties, which allows clients to precisely target healthcare providers based on specific areas of focus. Users can now leverage his claims based specialty data to identify individual physicians more accurately, which means companies can sharpen those -- their sales strategies with a better picture of their audience. In the quarter, we also expanded our HospitalView product to include new intelligence around organization charts. This new feature enables users to easily map out the hospital’s different departments and sub-departments to understand the many layers of management and to identify the right people who may be searching for their product or service. In our Monocl product line, we made significant enhancements to our expert profiles, including adding index medical keywords to publications, clinical trials, grants and industry payments. These additions make it even easier for medical affairs professionals to identify exactly the right clinical and scientific expert to assist in product development. Before I turn the call over to our CFO, Rick Booth, I want to take a moment to highlight the recent announcement that Robert Musslewhite has joined our executive leadership team as Definitive Healthcare’s President. Robert is one of the brightest minds in the healthcare industry. Having served as a longtime CEO of The Advisory Board Company, and most recently as the CEO of OptumInsight. We were thrilled when Robert joined Definitive Healthcare’s Board of Directors earlier this year, where he immediately made important contributions to the company. As Robert learn more about our vision, he appreciated the size of the market opportunity and wanted to take a hands on role. I’d also like to welcome Kathleen Winters to our Board of Directors. Kathleen is an accomplished finance and operations executive, most recently serving as the Chief Financial Officer of ADP. Her experience at ADP, as well as her prior experience at the fast growing MSCI will be invaluable to Definitive Healthcare and our Board. We are thrilled to have Kathleen joined the Board and I am confident that we will benefit from her expertise in multiple areas. To wrap up, I’d like to take a moment to thank all the creative, energetic and dedicated employees of Definitive Healthcare. It is this amazing group of talented individuals that leads to our success and it is these individuals who have created a culture of collaboration and decisiveness and inclusion and honesty, and it is these individuals that are working hard every day to help our customers transform healthcare as we know it. Definitive Healthcare delivered excellent third quarter results that reflect the strong momentum we have across all parts of our business. Customers and prospects increasingly recognize our ability to solve some of the most challenging and valuable issues facing their business. We believe we are well-positioned to continue to deliver an attractive and unique combination of growth, profitability and high predictability for the foreseeable future, generating significant value for long-term shareholders. I’d now like to turn the call over to Rick Booth to walk us through the numbers. Rick?
Rick Booth: Thanks, Jason. Q3 was a strong quarter, highlighted by rapid revenue growth and strong profitability. Since today is our first earnings call as a public company. I will start with a brief overview of our business models from a financial perspective, then provide a detailed review of our third quarter results, before finishing with our outlook for the fourth quarter and therefore the full year 2021. In all my remarks, I will be discussing our results on a non-GAAP basis, unless otherwise noted. Turning to our business model, to me Definitive demonstrates many of the best attributes in the vertical software business model. It’s a high growth subscription business, selling into a $10 billion total addressable market with single-digit market penetration. We operate profitably due to high gross margins, and very efficient customer acquisition and product development engines. And finally, our upfront billings and low CapEx requirements help us translate our profits efficiently into cash flows and shareholder value. Our revenue comes almost entirely from subscriptions to our platform. We have excellent forward looking visibility through our predominantly multiyear contracts and high net dollar retention rates. And finally, billings are in advance of usage, most commonly on an annual basis, which results in very strong cash flows. We have high gross margins due to our multi-tenant platform. The go-to-market model is very efficient, as evidenced by our very high LTV to CAC ratio. And finally, our product development engine efficiently delivers an ongoing stream of innovation. Turning to quarterly results, our Q3 results illustrate how this business model plays out in practice. Highlights of the quarter include 43% revenue growth compared to Q3 2020, 33% adjusted EBITDA margin, 38% unlevered free cash flow margin on a trailing 12-month basis and revenue growth plus trailing 12-month unlevered free cash flow equals 81% relative to the traditional Rule of 40 or Rule of 70. Turning to our results in more detail. Revenue for the third quarter was $43.1 million, up 43% from prior year. The growth rate reflects 900 basis points of benefit from the acquisition of Monocl in October 2020. The growth was above our long-term targeted organic growth rate of 30% even without Monocl. This revenue growth was driven by strong sales momentum. We now have 377 enterprise customers, define as customers with over 100,000 in annual recurring revenue. This was an increase of 125 year-over-year. Enterprise customers are the majority of our ARR and a key focus of our go-to-market efforts. When you include smaller customers, we ended the quarter with 2,761 customers up from 2,370 in Q3 2020. We are pleased with the strong consistent revenue growth we are realizing across our entire customer base and in particular from our enterprise customers. We expect their share of our overall revenue will continue to increase and the strong retention rates within this cohort reflect the value customers get from our platform, as well as the multiple opportunities we have to expand our offerings over time. Gross profit was $37.7 million, up 38% from Q3 2020. Gross margin of 88% was down from 91% in Q3 2020, due to recent investments to add prescription claims data. Prescription data represents a significant opportunity for us to innovate and expand our upsell opportunity within life sciences and we expect to leverage these investments over time as we did with medical claims information. Sales and marketing expense was $13.7 million, up 67% from Q3 2020. As a percentage of revenue, sales and marketing expenses were 32%, up from 27% of revenue in Q3 2020, as we continue to invest in our targeted digital marketing capabilities, efficient insight sales team and strong customer success function. We have a proven and efficient go-to-market motion, as evidenced by our 10 times LTV to CAC ratio and we are in the very early stages of growth in this $10 billion market. We are committed to steadily building out our sales demand generation capabilities. Product development expense was $4.4 million, up 74% from Q3 2020. As a percentage of revenue, product development expenses were 10% of revenue, compared to 8% in Q3 2020. Our ability to leverage existing datasets to launch or enhance multiple products enables us to very efficiently expand the value of our platform delivers for customers. We have an extensive list of innovation and enhancements underway on our product roadmap and we plan to continue to invest in product development. G&A expense was $5.4 million, up 140% from Q3 2020. As a percentage of revenue G&A expense was 13% of revenue, up from 8% in Q3 2020. G&A expense in the third quarter reflected incremental operating expenses related to operating as a public company, and over time, we will generate operating leverage from G&A as we grow into these fixed costs, but fourth quarter will reflect a full period of public company costs versus the partial quarter that we had this quarter. Operating income was $13.7 million, down 3% from Q3 2020. As a percentage of revenue, operating income was 32% of revenue, compared to 47% in Q3 2020. The year-over-year change in margin is related to four key investments. First, continued investments in sales and marketing; second, the increased costs required to operate as a public company that are reflected in G&A; and third, investments in prescription data, which are reflected in cost of goods sold; and finally, the acquisition of Monocl, which strategically will help drive long-term growth and profitability, but has a short-term drag on EBITDA margins. EBITDA was $14.4 million, compared to $14.5 million in Q3 2020. EBITDA margin of 33% was down approximately 1,500 bps from 48% in Q3 2020, due to the investments noted above. Net income in Q3 was $2.2 million or $0.01 per diluted share based on 149.7 million weighted average shares outstanding. Turning to our balance sheet and cash flow, our IPO provided $452 million of net proceeds, which we use to strengthen our balance sheet and replace our debt with lower cost bank financing. We ended the quarter with $190 million of cash and $272 million of debt. Our $83 million of net debt, resulting in 1.4 times net leverage, which is a substantial reduction from 7.6 times in Q2 before the IPO. We view this strong balance sheet as a strategic asset. We are very comfortable operating at current leverage levels, well knowing that we have additional capacity for M&A or other needs. Definitive’s high margins, upfront billing and low CapEx requirements provide substantial free cash flow generation. Historically, this cash flow has been strongest in Q4 and Q1 due to the timing of year end invoicing and we expect that trend to continue. As a result, we believe looking at cash flows on a trailing 12-month basis provides the best view into consistently strong cash generating capabilities in the business. Operating cash flows were $29.7 million on a trailing 12-month basis, up from $16.2 million in the comparable period a year ago. Looking at Q3 on a standalone basis, Q3 is traditionally our low point in quarterly operating cash flow due to the timing of year-end renewals and collection In Q3, operating cash flow was a $0.9 million use of cash to $0.8 million source of cash in the prior year due to normal seasonality and a $4.9 million one-time payment of accrued interest associated with paying off our prior debt. Going forward, we will benefit from both the lower debt balances and the improved rates associated with our new bank facility. On a trailing 12-month basis, unlevered free cash flow was $59.1 million were 38% unlevered free cash flow margin effectively converting 106% of adjusted EBITDA into cash. Looking at Q3 of a standalone basis, unlevered free cash flow of $11.5 million reflected at 27% unlevered free cash flow margin due to the seasonality discussed above. Turning to our tax structure, Definitive has a very efficient tax profile. Cash taxes are expected to be less than 500,000 in 2021 and rates are expected to remain low in the short to medium term. Even in the long term. Pro forma tax rates are expected to be below 25%. Guidance Definitive’s operational and metric-driven management philosophy carries over to our guidance. Guidance is based on a bottoms up operating model and excludes any new M&A where changes in capital structure. We will guide the fourth quarter today and we will update full year 2022 and Q1 2022 in our next call. In general, to the extent we over performed on revenue. We will seek to reinvest this upside and incremental growth opportunities rather than maximizing short-term profitability, although that will vary from quarter to quarter. I will now turn to specific guidance, beginning with the fourth quarter. As a reminder, we acquired Monocl in October of 2020 so Q4 will be the first quarter with Monocl in the year ago period. In Q4, we expect total revenue between $44 and $45 million for medium growth rate at 32%, non-GAAP income from operations of the $11.5 to $12.5 million, adjusted EBITDA $12.5 to $13.5 million, and non-GAAP net income of $6 to $7 million. We are $0.04 to $0.05 per diluted share on $148.6 million weighted average shares outstanding. This means for the full year 2021 we expect total revenue of $164 to $165 million. Non-GAAP income from operations of $52 to $53 million, adjusted EBITDA of $55 to $56 million, and non-GAAP net income of $13 to $14 million diluted and earnings per diluted share to be between $0.08 and $0.09 $148.5 million weighted average shares outstanding, In conclusion, to summarize, we are in the early days of penetrating a large attractive market opportunity. We have clear plans for durable highly predictable and profitable revenue growth over a multiyear time horizon and we believe executing on this plan combined with capital efficiency will create shareholder value for a long time to come. I look forward to updating you on our progress. And with that, we can open the call to questions.
Operator: [Operator Instructions] Our first question today is going to come from Sterling Auty with JP Morgan.
Sterling Auty: Yes. Thanks. Hi guys. So I wonder if you could characterize for us how much of the growth in the quarter actually came from the new customers that you added versus actually upselling either more modules and more seats and your existing customers?
Jason Krantz: It’s a great question, Sterling. We have strong growth contributions from both. One of the great things about our predictable business model, however, is that the bookings in any given period have only a marginal impact on the reported revenue. So really you are seeing strong expansion in the revenue from existing customers and then over time, you also see larger ACV as each of those relationships to get bigger. So the two combined are what drive our overall revenue growth of 43% and we really aim at the overall as our biggest, biggest target.
Sterling Auty: All right. Great. And then maybe one follow up. I am wondering what your experience was in the quarter in terms of the buying centers across because you gave examples of customers that you won in a number of different industries. Are you expanding out into buying centers within those types of companies within all of those industries? So in other words, are you expanding within an expanding base?
Jason Krantz: We are. Thanks for the question. Appreciate it. So, as you know, we have about 100,000 companies in total that we sell to that we think is our end market and that falls under four key segments that we sell into life sciences like biopharma, medical devices, healthcare IT, healthcare providers and then the whole group of diversified companies that sell to many industries where healthcare is a really important industry for them and they realize they need a specific intelligence. In all cases, we are not only expanding markets that we sell into, for example, we didn’t really sell to providers three years ago, but as we have innovated that’s now a great growing market for us, but within the clients that we are selling into were continue to expand as well. So for example, in biopharma we increasingly sell into medical affairs and market access, whereas three, four years ago, we sold mostly in the commercial. So for us continue to innovate and solve more business problems for our clients is absolutely essential and that continues to expand the markets that we sell into and our ability to penetrate deeply within our existing clients.
Sterling Auty: That makes sense. Thank you, guys.
Operator: And our next question comes from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: Yes. Thank you. Jason, I just wanted to follow up on the commentary about healthcare providers and some of the more recent momentum in that space. Can you just touch on how your sales approach might change in a market like that in terms of as you get deeper into healthcare providers?
Jason Krantz: Yes. It’s a really important market for us and it’s growing overall, so we are solving multiple different problems for healthcare providers. So we are helping them build fantastic physician and facility networks, so the referral management is really important as well as helping them figure out how do they keep patients within their system, which is just an incredibly strategic high-stakes problem for them. And then finally, as they think about competitive benchmarking and where they are having success and where they might be able to attract new patients into their health system and IDN are all major problems for them. So what we are going to see is a couple of things. We will continue to invest in new product that we think will meet the needs of that particular space so investing in new ways of utilizing our existing data to meet their very specific needs is going to be important. And then, we are continuing to invest in the sales and marketing resources to go attack that market. So that group is going to grow relatively quickly over the next year as we continue to expand and deepen our relationships within the provider market.
Craig Hettenbach: Got it. Thank you. And then just as a follow-up, can you touch on just the pace of organic development for new modules as well as perhaps the pipeline for kind of tuck-ins, really in the context of the goal to kind of rollout one or two modules annually?
Jason Krantz: Yes. So I appreciate it. Innovation is incredibly important and it really is a combination of organic and then we will complement that with inorganic when the right opportunities arise. On the organic side, we roll out a couple of key modules each year. I mean, that will be similar next year targeting all parts of the market that we sell into. So we have modules coming out within life sciences. As I mentioned, we will be expanding within provider and also within that car segment and creating more upsell opportunities and also opportunities to raise ACV on new logos within that important market as well. So that will continue as planned and as in previous years and what we are able to see is because we have built this proprietary set of intelligence that doesn’t exist anywhere else. We are able to innovate extremely quickly and able to reuse information and apply new data science techniques to solve new business problems for our clients, so innovation is very exciting and a very important We are organic -- inorganically, we are looking at different candidates, all the time. We are very disciplined in our approach, as you know, so we are looking for companies that can provide a new capability or new dataset that we can link into our existing proprietary platform and sell more to our existing clients and also take data that we already have and data science that we already have and push that into the company that we are acquiring platform to make that better, so Monocl is just a great example of that. We bought the company back in October and instantly achieved those two synergies, accelerating their growth by making their product better with our existing datasets. And then so and aggressively through our existing commercial sales force to our existing clients.
Craig Hettenbach: Thank you.
Operator: And our next question comes from Saket Kalia with Barclays.
Saket Kalia: Okay. Great. Hey, guys. Thanks for taking my questions here and congrats on becoming a public company. Jason, maybe first for you, maybe just tacking on to that last question on modules. Can you just talk about which modules you feel like are particularly important for the business right now and maybe conversely, what are the ones that you feel like maybe we have the most room for upside in adoption?
Jason Krantz: Sure. Thanks. Appreciate the question. Healthcare is incredibly fragmented and changing over time, which really means that they need to understand the entire healthcare ecosystem is becoming more important to more of our clients. So that’s great news for us as we think about ways where we can penetrate our existing clients more deeply sell more into existing clients. So, new logo today will buy just over two about 2.2 of our modules. We have 14 to sell. So there’s a lot of room to continue to sell more to existing clients. Areas of particular excitement is our clients. The vast majority of companies want to sell to multiple different facility types, including the hospitals, physician groups are becoming increasingly important. Physicians is obviously a key part of the market but then our claims data and Monocl is important as well. So, these are ways that we can expand the number of use cases that we are solving for big life sciences companies that have an almost insatiable appetite for the type of data science in the insights that we can provide. So, we will be investing heavily in new ways to utilize that data. In Monocl, we just added Asian data, which is a really important addition. And we now cover 11 million experts across the globe. So, a lot of great innovation happening across all the different products that will drive deeper adoption.
Saket Kalia: Got it. That’s great. Rick, maybe for my follow-up for you. You touched on a couple of statistics here about the enterprise business, but could you just remind us roughly how big the enterprise business is here and maybe just touch on how that cohort of customers is just different economically from the broader sort of customer base for Definitive. Does that make sense?
Rick Booth: Absolutely and it’s a great question. Those enterprise customers are really the engine that powers our growth. Those 377 customers generate more than half of our annual recurring revenue and they have very strong net dollar retention rates. As you may recall from some of our earlier discussions as part of the IPO process, we have customers that are well into seven figures and in terms of revenue with a long way to expand in our existing customers, so we are focus the majority of our sales and marketing efforts on enterprise customers.
Saket Kalia: Very helpful, guys. Thank you
Operator: Our next question comes from Kash Rangan with Goldman Sachs.
Kash Rangan: Hi, Jason and Rick. Congratulations. I am curious to get your perspective on everything but we are reading the headlines. There is labor shortage and I read somewhere that 0.5 million healthcare workers have resigned since the pandemic, then you also have supply chain issues causing to potentially rising costs at hospital systems. What are the things that that Definitive can do to address some of these near-term issues in your industry in addition to the things that you have already quite good at? Thank you so much.
Jason Krantz: Thanks. I appreciate that. Those are challenges for the industry for share and what that does is it creates more complexity frankly to try to understand this industry and to try to solve their problems, so we are working with companies that are transforming healthcare. They are driving down costs and improving quality whether it would be new IT, our new therapeutics that save lives, or new construction companies that are looking for more efficient ways to deliver healthcare, so continuing to invest and help those companies understand this entire ecosystem and how the changes in the market might affect them is growing an importance. So a great example is telemedicine. So when COVID hit last year, telemedicine exploded and our clients came to us to try to understand how -- who is adopting telemedicine the most quickly and how is that going to change the way that their customers are providing care. So we use data we already had and our data science team analyze that to come up with the telemedicine propensity score and that showed our clients in one piece of information, who is adopting telemedicine and who is most likely to in the future. So it’s that type of innovation that we can help our clients to identify where labor shortages might happen for example in order to -- so that they can put their resources in ways that can help solve those problems.
Kash Rangan: And thank you so much. As a follow-up, how about your own ability to hire to support your ongoing growth aspirations? How is that part of the demand for your own employees and how you plan to do to fight the labor market, which seems to be over competitive with the wage inflation as well? Thank you so much.
Rick Booth: It is a very competitive market right now. What we have always done -- we have tended to have very low attrition within our employee base and the reason is really all about the culture that we provide. So our employees come to us because they want to be something part of -- they want to be part of something bigger than just the company that they work for and our culture is all about collaboration and solving interesting difficult problems that are going to change, healthcare and actually have an impact. We also have a culture of giving back to the community. So we have our Definitive carries program where we provide volunteer opportunities for our employees. We have had 100% participation in that every single year that we have had it and it’s just a great way for employees to get to know other employees and take leadership roles and all of these results, we have been at best place to work five years in a row. We are the number one place to work in all Massachusetts in 2019. Hopefully, we are going to be number one again this year. We are awaiting the results. But if you can develop a culture like that, it gives you a real competitive edge as you try to find the very best and brightest to work at our Company
Kash Rangan: Wonderful. Thanks, Rick.
Operator: Our next question comes from Jailendra Singh with Credit Suisse.
Adam Watts: Hi. This is Adam on for Jailendra today. Thanks for taking my question and congrats on the quarter. Can you just talk about some of the early traction you have seen as far with the prescription claims data? How the pricing may compare to some of your other modules and let me just how big of an opportunity that project can be even within your existing customer base?
Jason Krantz: Sure. I will take that. Thanks for the question. RX is a really important opportunity for us. When you combine the whole power to what we have done as a company is all about creating a platform where all of this different data comes together to solve problems in different ways that have never been solved before. So we have developed over the last 10 years our proprietary view of the entire healthcare ecosystem. We layered on medical claims in 2019, which has been a tremendous success. And then, we just added RX claims in 2021 and we think it could be as large as medical claims. So we have had really good adoption to date. Like I said when you combine the RX claims of other stuff that we have already pulled together, we are now allowing clients to solve problems they haven’t been able to solve before when they just get raw feeds of Rx claims. So we are very excited about that and we are building on -- we are building new technologies on top of that, that really just kind of continue with this flywheel of innovation where you apply new data science and create new information that has not been utilized before and this creates -- it deepens the moat that we have. So it’s an important piece for us, it’s a big opportunity. I think we are in the top half of the first inning and going to achieve it, but we are excited about where we can take that over the coming years.
Adam Watts: Great. That’s very helpful. Maybe as a follow-up, as you continue to on-board new customers and expand the number of modules on the platform, are you seeing any uptake in the levels of inbound interest or I guess how would you characterize the mix of lead generation recently? Thank you.
Jason Krantz: Good question. So we have been typically a sales-driven organization since the beginning, so very outbound focused, but we have been invested in the last year and we are heavily into marketing, so figuring out how do we go find these 100,000 companies and have them come to us. So we have seen significant growth in inbound two wells over the last year. We are excited about that. We think there’s a tremendous amount of opportunity to drive that up even further. We think public -- being a public company is very helpful in that and our brand just continues to increase in the market. We are driving a lot of thought leadership right now through white papers and blogs to bring people to us. So we are excited about what we have done from an inbound standpoint and where we can potentially drive further growth in the future.
Adam Watts: Great. Thank you.
Operator: Our next question comes from George Hill with Deutsche Bank.
George Hill: Good evening, Jason and Rick, and welcome to the big show as we call it. Jason, you talked about the company having 14 modules with the average company having just over two. Let’s assume for a second that we are not going to introduce new modules, but what’s the right number for the average customer to have recognizing that like the flooring vendor isn’t going to by Michael or anything like that. So as you grow from just north of 228, a more mature number, what’s the right way to think about customer penetration?
Jason Krantz: It’s a really good question and it varies depending on the segment that we are selling into. So within certain segments, for example, life sciences and providers, which I would say are two of our most important segments over the next several years, they really are interested in everything that we have to offer. So all of this data is important to each of them. As you get outside of that market into maybe IT or some of the diversified five firms like a flooring company, which are fantastic clients for us. I think typically speaking they are going to probably want two-third of our modules over time as you said Monacl doesn’t necessarily fit with that type of company, but they want to sell to all different facility types and physician groups in surgery centers and skilled nursing facilities. So the opportunity to expand deeply as healthcare continues to fragment is absolutely there against -- across the entirety of the customer base.
George Hill: Okay. And if I could have a quick follow-up, kind of, you guys had the good fortunate debut at a pretty attractive equity valuation, I guess, can you talk about whether you have seen that impact, either the competitive environment or the M&A environment with people are they looking to sell to you kind of chase kind of the scarcity value that you guys have created?
Jason Krantz: Yes. I guess when you think about the competitive environment, I mean what we have done over the last 10 years is incredibly unique. We have pulled together information from hundreds of thousands of sources, we have made 700,000 phone calls a year, and then we have applied incredible data science to it to create new information and claim that information and link it together. And this is very, very difficult to recreate. It takes time and it takes iteration and it takes working with our customers. So I don’t think we have seen any impact from a competitive standpoint on that. B public of course gives us more flexibility as we think about new M&A opportunities. So, are there more opportunities than they were before? Maybe, but in general, we have always had a good pipeline of M&A opportunities and we are very focused on remaining disciplined in finding companies that have significant strategic value for us where we can get synergies and added capability that more quickly than we might build our inorganic basis. So we will continue to focus on it and look for great opportunities.
George Hill: Great. Very helpful. Thank you.
Operator: Our next question comes from DJ Hynes with Canaccord.
DJ Hynes: Hi, Jason and Rick. Congrats on a good start here. Thanks for taking the question, Jason, is there any way to think about what a top-decile customer looks like in terms of spend with you versus maybe the average customer and then like what percent of the mix do you feel like over time could ultimately look like the top decile customer. I am just trying to get a sense for what the opportunity in the base might look like?
Jason Krantz: Yes. As you think about -- I mean just varies a little bit by segment, as you look at it. So if you look at top decile customers overall, we expect these to be multi-million dollar clients, so within life sciences, we already have clients well over $1 million within technology firms we have multiples six figure type of clients well into the mid-six figures. So there is a tremendous amount of room for us to continue to grow and expand and sell more modules really across our entire base. But that’s kind of how we think about it. We want to push. We are very focused on enterprise clients as Rick had mentioned before we saw tremendous growth in that over the last year as we continue to innovate and meet more of their needs and will continue to drive up that average ACV over time by innovating and by deeper penetration with our existing products.
DJ Hynes: Yes. Okay. And Rick a follow-up for you. I mean to the extent that you are still new to the public markets, can you just talk a little bit about how we should think about the model and potential upside playing out from hereon? I mean if you guys continue to beat like we saw in Q3, should we expect that upside to flow to the bottom line or we reinvest and assuming it’s the latter, maybe just talk about some of the areas you have flagged for that incremental spend?
Rick Booth: It’s a great question, DJ. Thank you for asking it. Our philosophy overall is to reinvest profitability upside in the continued growth of the business. And we are very measured in how we do that and we have a test and learn philosophy. So to the extent that you see profitability upside today will begin turning the lever primarily in sales and marketing and in product to continue to drive that all important long-term growth. So we are not -- we are not focused on optimizing any single quarter in terms of profitability. But given our revenue visibility, we should be a very predictable model.
DJ Hynes: Yes. That makes sense. Thank you, guys.
Operator: Our next question comes from Brian Peterson with Raymond James.
Brian Peterson: Hi, gentlemen. Thanks for taking the question and congrats on a strong start. So, just one question from me on the innovation cadence, so you have 14 modules today, you have seen you build it out both organically and through M&A. Rick, it was pretty clear on the investment philosophy but curious to think about the cadence of kind of new modules over the next couple of years. Any color on that?
Rick Booth: Yes. On average we will roll out a couple -- we innovate in two different ways. The first is new modules that we can sell in some way through packaging or through an additional price. On average, we will roll out one to two of those per year and that’s been pretty steady over the course of our -- over the course of the business. The second way that we innovate, which is maybe equally important is we are constantly adding new features and new analytics and new algorithms and new data science to our platform. The telemedicine propensity score that I mentioned before, is just a great example of that where we are not charging more for that or the dozens of other innovations that we had throughout the year, but we are able to benefit significantly in a few ways. We drive up velocity of bringing on new deals. We are able to charge a higher price to new logos. So we have seen significant ACV growth in new logos each year as a result of that innovation. And then, when we renew clients, not only are we able to renew at a higher rate, but we are able to renew into multiyear deals with price escalators built into them. So all of that innovation, which is happening, every single month as we are continuing to improve the product has substantial long-term benefits on our business.
Brian Peterson: Great. Thanks.
Operator: Our next question comes from David Grossman with Stifel.
David Grossman: Thank you. I just have a couple of quick follow-ups to some questions that have been already asked. First, maybe you could speak to the activity levels as healthcare utilization rates continue to migrate to more normalized levels. Our vendors selling into the end markets, are you seeing any acceleration and -- and their selling efforts that would kind of correspond to the kind of -- if you will coming back to normal or back to more normal kind of activity in the healthcare space and end markets?
Rick Booth: I think we are seeing a little bit of that. I mean healthcare is a giant market, a $4 trillion market. So I think all of our clients have always been incredibly aggressive in figuring out new ways to grow within this market. Obviously, that means there is lots of new entrants always coming into this as well to figure out how they can -- they can grow along with the healthcare market as it continues to grow with aging population and other and all the other tailwinds that are happening within that market. So, have we seen a significant increase this year in that? I am not sure that anything of particular note, but it’s an aggressive market and people are trying to succeed in our data can help them succeed.
David Grossman: Got it. And then I know you provided the number of accounts greater than $100,000 at the end of the third quarter. Do you perhaps have that information for just the end of the first quarter and second quarter, just to see how that trend sequentially?
Rick Booth: I don’t have that sitting here in front of me.
Jason Krantz: Let me see. Rick, why don’t you give it?
Rick Booth: End of Q2, we were at 349 and the end of Q1, we were at 320.
David Grossman: All right. Great. Thanks very much.
Jason Krantz: Thank you.
Operator: There are no further questions at this time. I’d like to turn the floor back over to Jason Krantz for closing comments
Jason Krantz: Great. Thank you very much. Well, first of all, I just want to thank everybody for their time today and for joining our first earnings call. We appreciate it. And we appreciate the support of all of our investors as we try to achieve our goal of highly durable profitable growth. But I just want to personally thank the 700 employees of Definitive Healthcare. Their commitment to our mission of helping our clients transform healthcare is remarkable and their passion for what we do every day is contagious. So I just want to have a heartfelt thank you for that. So have a good evening everyone. Thanks again for the time. We appreciate it.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.